Operator: Thank you for standing by, and welcome to the Schneider’s Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] I'd now like to turn the call over to Steve Bindas, Director of Investor Relations. You may begin.
Steve Bindas: Thank you, operator, and good morning, everyone. Joining me on the call today are Mark Rourke, President and Chief Executive Officer; Darrell Campbell, Executive Vice President and Chief Financial Officer; and Jim Filter, Executive Vice President and Group President of Transportation and Logistics. Earlier today, the company issued an earnings press release. This release and an investor presentation are available on the Investor Relations section of our website at schneider.com. Our call will include remarks about future expectations, forecasts, plans and prospects for Schneider. These constitute forward-looking statements for the purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties discussed in our SEC filings, including, but not limited to, our most recent annual report on Form 10-K and those risks identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Schneider disclaims any duty to update such statements, except as required by law. In addition, pursuant to Regulation G, a reconciliation of any non-GAAP financial measures referenced during today's call can be found in our earnings release and investor presentation, which includes reconciliations to the most directly comparable GAAP measures. Now, I'd like to turn the call over to our CEO, Mark Rourke.
Mark Rourke: Thank you, Steve, and hello, everyone. Thanks for joining the Schneider call today. For our prepared remarks, I will provide an overview of our framework to drive structural improvements in our business, enable us to seize the opportunities ahead. Then I will share insights on our recent dedicated acquisition of Cowan Systems, offer my perspectives on the freight market and discuss our results and positioning across our multimodal platform of Truckload, Intermodal and Logistics. Darrell will then provide a financial overview of our fourth quarter results and discuss our assumptions for 2025 full year earnings per share and net capital expenditures guidance. Then we'll take your questions. Let me begin by emphasizing that we remain committed to driving ongoing structural improvements in our business by restoring margins, improving resiliency, enabling growth and enhancing financial returns. To accomplish that, we continue to follow a framework that includes four tenets, all equally important. Our first tenet is optimizing capital allocation across our strategic growth priorities, which include dedicated, intermodal and logistics. The second tenet is managing the customer freight allocation process with purpose and discipline. By carefully selecting and managing our freight, we can ensure that we are serving our customers effectively and profitably. Next is delivering an effortless customer experience. We aim to make it easy for customers to work with us by providing optionality and value across our multimodal portfolio. The fourth tenet is containing costs across all expense categories. Cost containment is critical to our overall business strategy as it enables us to reinvest in growth initiatives and enhance our competitive position. Turning to the fourth quarter. Programmatic acquisitions complement our organic growth objectives. And on December 2, we were pleased to announce the completion of our acquisition of Cowan Systems. Cowan is our third and largest dedicated acquisition in as many years and aligns with our long-term strategic objective of providing customer-centric dedicated solutions as the cornerstone of our Truckload segment while broadening our vertical market reach to provide greater value to our customers and shareholders. With the acquisition of Cowan, 70% of our truckload fleet is now in dedicated contract configurations. This compares to 33% in 2017, our first year as a public company. Cowan fits our acquisitive profile as a successful, well-run family-owned enterprise with a highly compatible culture and a track record of providing excellent customer experience that drives deep loyalty. In keeping with our proven acquisition playbook, Cowan will retain its brand, operating independence and leadership. As primarily a dedicated contract carrier with a portfolio of complementary services, including brokerage, port and intermodal drayage and warehousing, Cowan utilizes a 100% lightweight equipment model and serves the attractive end markets of specialty retail, food and beverage and construction building supplies, all of which take advantage of the increased payload capability. The transaction price was $421 million, including $31 million of related real estate. In 2024, its pro forma operating revenues were $629 million, primarily composed of Dedicated, which operates approximately 1,900 trucks and 7,600 trailers. Cowan was accretive to earnings per share in December. We expect between $20 million and $30 million of annual synergies after year one. The synergies are largely from the integration of administrative and support functions, including equipment purchasing, maintenance and fuel. We expect to benefit from these synergies as early as the first half of 2025 with the benefits accelerating in the second half of the year. With the Cowan acquisition, we see ample opportunities for growth across multiple verticals and geographies, and we will allocate capital to organically grow the business and enhance returns to shareholders. Now let me give you my perspective on the freight market and what we are seeing from our vantage point here at the end of January. The fourth quarter largely played out to our expectations. Seasonality, which began in the second quarter was even more evident in the fourth. Carriers are still not being adequately compensated for the value provided and the cost to deliver, resulting in continued attrition of supply. Declining capacity across current demand that more closely aligns to seasonal expectations is bringing the supply and demand condition closer to equilibrium. In the quarter, we experienced solid retail and consumer product-driven volumes that were partially offset by extended seasonal auto production shutdowns. While there were pockets of pull forward import volumes to address concerns with tariffs and potential port labor strikes, this was not universal across our customer base, so the impact this will have in 2025 is difficult to quantify. Starting around Thanksgiving, spot price exceeded contract price and accelerated through the end of the year and into 2025. While the trend is encouraging, we are far from satisfied with our results. We continue to take actions to restore performance within our long-term margin targets. These actions include executing the allocation season with purpose and discipline for profitable growth, reducing our cost to serve and growing our variable cost network capacity. We are very early in the freight allocation season, but we are finding that customers are more receptive to rate restoration than they have been in the last two years. In addition to recovering market conditions, the fourth quarter benefited from the cumulative effects of the action we have taken throughout the year to expand margins, which resulted in a year-over-year improvement in earnings across all reportable segments for the first time since the second quarter of 2022. Our actions also position us for outsized leverage in an improving freight market. Turning to our segment results, and I'll start with dedicated in our Truckload segment. Our dedicated business has demonstrated resilient earnings profile over freight cycles is an important part of our strategy to create enduring shareholder value. As we expected, there was limited organic start-up activity in the fourth quarter. We have line of sight to several hundred trucks of new business awards slated for start-up in the first half of 2025. Our new business pipeline remains strong, and we are adding additional commercial resources to advance the opportunities we have in front of us. In addition to overall truck growth, we expect enhanced dedicated revenue per truck per week due to two separate influencing factors. The first is that, we are tightening our truck to driver ratios in our three acquired companies in redeploying the underutilized capital to new startups. Second, we had trucks at the ready for a few large start-ups that were customer delayed from 2024 into 2025, which we can now effectively deploy. Our truck network business continues to be challenged. We are on a path to restore profitability of this business through internal cost control and productivity actions, adding variable cost capacity and rate restoration that aligns the value we provide and the cost to deliver our exceptional service. In the quarter, we achieved sequential earnings improvement driven by cost reductions and rate performance that was at expectations, as we continue to work to attract more variable cost capacity. This improvement was achieved, while overcoming the impact of insurance expense, which I'll talk to you in a moment. Looking forward, as freight conditions recover, our network business, which is more sensitive to market cycles will benefit from supportive pricing environment and enhanced asset productivity. Enterprise results for the quarter included $7 million of prior year accident reserves, an impact of $0.03 per share most of which resides in truckload. In 2024, Schneider achieved significant reductions in our DOT reportable accidents attaining an all-time low accident frequency. At the same time, the industry has seen a surge in litigious activity, including litigation funding, nuclear verdicts and inflated settlements, which have increased the cost and volatility of claim reserves as well as insurance premiums. Our number one goal is to lower the frequency as this is the first line of defense against rising settlement costs. I am proud of our driver community, our operations and safety teams whose actions continue to reduce frequency of claims, therefore, lowering our overall risk profile. In our Intermodal segment, we hit the trifecta with year-over-year growth in orders, revenue per order and improved productivity. Year-over-year, intermodal orders up 3%, revenue per order was up 2% and margin improved 380 basis points. Our disciplined and balanced approach during our customer search period drove enhanced operating leverage into our business, and it resulted in an exceptional service experience for our customers. Continued intermodal cost reductions, network optimization, and improved trade productivity, all positively impacted the quarter and our position as we enter 2025. In the quarter, hurricanes created sporadic service interruptions in the east. In the West, the Union Pacific experienced disruption for a few weeks early in the quarter. However, we were pleased with their recovery and ability to surge volumes with improved service consistency. Turning to our Logistics segment. We delivered another profitable quarter. Logistics continues to manage net revenue effectively, while conditions in brokerage market are challenged from an overall available volume and carrier cost perspective, and order volume count contraction of only 5% was mitigated in part to our Schneider Freight Power platform and our people. Our power-only offering continues to resonate with customers and our industry-leading technology has allowed us to lower our cost to site. In summary, the freight market is continuing its path towards recovery, and we are playing the long game. We are committed to driving structural improvements across our enterprise by restoring margins and enhancing financial returns. In 2024, we took a balanced and disciplined approach towards positioning our business for through-cycle leverage, growth and resiliency, and our actions gained traction as the year progressed. Following our framework and focusing on our strategic priorities, enables us to drive improvements in our business and seize the opportunities ahead. Let me now turn it over to Darrell to discuss fourth quarter financial results and our 2025 guidance.
Darrell Campbell: Thank you, Mark, and good morning, everyone. I'll review our Enterprise and segment financial results for the fourth quarter, lower with our year-to-date cash flow trends and capital allocation actions. Additionally, I'll provide insights on our full year 2025 EPS and net CapEx guidance. Summaries of our financial results and guidance can be found on Pages 21 to 26 of our investor presentation available on our Investor Relations website. I want to reiterate our objective of positioning the business for structural resiliency and profitable growth in cycles. While we are actively addressing the short term, our focus remains on positioning our multimodal platform and services for enhanced financial returns and long-term value creation. Through all cycles, we remain disciplined on commercial actions, cost management and resource optimization across our enterprise and these ongoing actions are positively impacting every segment of our business. In the fourth quarter, revenues excluding fuel surcharge, were $1.2 billion, up slightly year-over-year. Our fourth quarter adjusted income from operations was $45 million, an increase of 40% compared to a year ago. Adjusted diluted earnings per share for the fourth quarter, was $0.20 and $0.16 a year ago. Our common acquisition was immediately accretive to EPS in the quarter. As Mark mentioned, refinement of reserve estimates primarily related to 3 accident claims from prior years, resulted in $0.03 per share of expense during the fourth quarter. While our ongoing investments and favorable safety performance continue to favorably impact frequency, we're operating in an inflationary litigation environment. From a segment perspective, truckload revenues, excluding fuel surcharge, were $560 million in the fourth quarter, 2% above the same period a year ago. This increase was primarily due to dedicated organic new business growth, the acquisition of Cowan and higher network revenue per truck per week, partially offset by lower network volumes. Truckload operating income was $20 million, up 5% year-over-year due to the same factors that shaped revenues and was partially offset by increased fees to reserve estimates. Truckload's operating ratio of 96.5% was essentially effect to the same period a year ago. Intermodal revenues, excluding fuel surcharge, were $276 million in the fourth quarter, 6% higher than the fourth quarter of 2023, primarily due to volume growth and higher revenue per order. Intermodal operating income was $17 million, an $11 million increase compared to the same period last year due to both volume and revenue per order growth in addition to enhanced operating leverage due to the internal cost reduction actions and improved trade productivity. Intermodal's operating ratio improved to 93.8% compared to 97.6% a year ago. Logistics revenues, excluding fuel surcharge, were $324 million in the fourth quarter, down 5% year-over-year, primarily due to lower brokerage revenue or order and volumes. Despite lower year-over-year revenues, Logistics trend of profitability continued with operating income of $9 million, up nearly 40% compared to the fourth quarter of 2023. This was primarily due to the effect of net revenue management. Fourth quarter 2024 Logistics operating ratio was 97.4% and 80 basis point year-over-year improvement. Turning to capital allocation. We paid $67 million in dividends during 2024, which was 5% above 2023, and we continue to strategically repurchase shares with total activity of $30 million for the year. We recently announced that we will maintain our quarterly dividend at $0.095 per quarter, which represents a commitment to returning value to our shareholders. We ended 2024 with net CapEx of $38 million, which is above our most recent guidance of $330 million. This was due to a real estate purchase and replacement equipment CapEx, both in connection with our recently acquired Cowan Systems business. Net CapEx for 2024 was $194 million below the prior year, primarily due to our efforts to enhance asset productivity, as well as focusing on growth CapEx solely in our strategic Dedicated and Intermodal businesses. These actions translated into a $200 million year-over-year increase in our free cash flow and more than doubling of our free cash flow conversion. Along with using our strong balance sheet, we've utilized our free cash flow to further our strategic inorganic growth priorities through the acquisition of Cowan Systems. In November 2024, we executed a $400 million delayed draw term loan facility and used $300 million of the proceeds to partially fund the acquisition of Cowan Systems and related real estate assets. Our net debt leverage was 0.7 times at the end of the year. While our guidance for 2025 does not contemplate specific inorganic growth, we continue to explore opportunities to further our strategic priorities. Organic growth continues to be our highest capital allocation priority and our guidance assumes continued growth capital investments in dedicated and intermodal tractors. We'll also continue to manage our fleet each within our targeted ranges and invest in technology to drive business insights and associate productivity. In addition, we anticipate proceeds from equipment sales to be slightly lower than 2024. As a result of these considerations, we expect net CapEx to be in the range of $400 million to $450 million for the full year of 2025. Moving to our earnings guidance. Our adjusted earnings per share guidance for the full year 2025 is $0.90 to $1.20, this assumes an effective tax rate of 23% to 24%. Based on what we would consider our normalized fourth quarter 2024 EPS run rate of approximately $0.23, the lower end of our range suggests that similar conditions to those in the fourth quarter of 2024 would persist throughout 2025. The upper end of our range considers enhanced freight market conditions starting in the second quarter and building throughout the year. This upper range also factored in incremental costs associated with incentive compensation. In 2025, we anticipate returning to Truckload network to profitability in the second half of the year by improving price, growing variable cost capacity and continuing to execute cost and asset efficiency actions. For Truckload Dedicated, we look forward to top line and earnings growth driven by a strong new business, increasing the number of tractors on existing accounts and the accretive impact of Cowan, including synergies. For Intermodal, our expertise in its volume growth, particularly where Schneider differentiated from competitors, and we anticipate increased over the conversion, along with a modest increase in net price from the first half to the second half of the year. In the Logistics segment, we expect to continue capitalizing on digital automation investments, and leveraging our leading our only offering to augment our truckload network business. Our guidance also considers minimal net cost inflation year-over-year and similar equipment gains based on a stable used equipment market. We believe that our actions to arrest inflationary costs and lower cost to serve will benefit our 2025 results, along with increased price and volume. As these efforts have taken hold, we remain vigilant in identifying incremental opportunities across the business through 2025. Let me close by providing an update on our long-term strategic targets by segment. For the Truckload segment, our dedicated business delivers resilient results through all cycles. As we continue to grow our dedicated business organically and through strategic acquisitions, combined with the actions we've outlined to restore truckload network business to profitability, we are maintaining our long-term margin target range of 12% to 16%. For the Intermodal segment, volumes continued to show strength, with total orders for the fourth quarter of 2024 at the highest level since the third quarter of 2022. Considering our volume outlook, ability to grow around 30% without additional investments in containers and chassis, and our differentiated real partnerships, we're maintaining our long-term target of 10% to 14%. As it relates to our Logistics segment, two years ago, we updated our long-term target range of 5% to 7% from the previous range of 4% to 6%, primarily due to the record growth of our pool offering, which is a higher margin profile than traditional brokerage. While we continue to grow our Power Only earnings contribution, overall margin weight has shifted to our traditional brokerage, including the Cowan growth operations. We consider this weighting as well as the current brokerage market landscape and refining our long-term margin target to 3% to 5%. With that, we will open the call for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Daniel Imbro from Stephens. Your line is open.
Daniel Imbro: Yes. Hey. Good morning, everybody. Thanks for taking our questions.
Mark Rourke: Hey, Daniel.
Daniel Imbro: Maybe squeeze one in here. I guess I sort of the broader truck backdrop, revenue per truck per week did increase a bit sequentially. And Mark, I think you mentioned, customers are more receptive to rate restoration more so than any time in the last couple of years. I guess with the market tightening, when would you expect organic truck count to begin to grow, again, on both maybe the network side and the dedicated, if we back out the Cowan growth, it still looks like dedicated trucks maybe step down a little bit. When would you expect that to begin to grow again? And any help when just thinking about the cadence or magnitude of growth as we move through this year with the market that seems to be getting better? Thanks.
Mark Rourke: Daniel, thank you. As we've talked throughout the year, we started to see some positive contract renewals on contract pricing starting as early as the second quarter. And we have increased conviction that we're going to be more successful as we head into 2025, as you indicated in your question. Our focus in the network side of the business is to place our growth into variable cost capacities in more owner-operators and then augmented through power only. We're happy where we are in the company driver side. We've been quite stable there now for several quarters. And our growth -- and we are pursuing that growth in network presently with that variable cost capacity, so we would expect to start to see that in 2025 and particularly as we get into the second quarter. As it relates to Dedicated, very much feel confident that our new business pipeline, the start-up activity that we have already on the docket it will start to show increases in truck count. But also very importantly, as we outlined in our prepared comments, Daniel, we expect to see more growth in revenue per truck per week, as we can get tighter on capital allocation and taking higher ratios and getting some underutilized equipment redeployed more effectively within Dedicated and particularly coming out of our acquisitive companies, and Cowan is a great opportunity for that, because one of our synergies is our maintenance infrastructure that allows them not to have as much safety stock equipment because how quickly we can turn equipment, how we can keep equipment up more effectively. So it's going to be a combination next year and dedicated to both growth of units but also, I think, accelerated growth of net revenue per truck per week.
Daniel Imbro: Got it. Appreciate that. Thanks.
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley. Your line is open.
Ravi Shanker: Great. Thanks. Morning everyone. Just a follow-up on that point. Can you help quantify what you are seeing in those rate renewals right now, one of your peers spoke about mid-single digits with high single is in some pockets, are you seeing something similar? And also, I guess kind of how would you quantify, or how do you qualify some of the strength in the data points you've been seeing in the last few weeks? Do you think it's transitory because of a noisy January? Or do you think that can be sustained through 1Q? Thank you.
Mark Rourke: Ravi, as it relates to renewal discussions, we're very, very early in that process. But as is typical, we through the fourth quarter and early part of the year; we start to have early discussions, particularly around our large strategic customers around preparing for the forward periods. And so we again, don't have any -- a great deal in the barn yet, but those discussions, I think, have been very constructive and been “different” than what we've experienced the last couple of years. As you look at the spot pricing, which is, I think sometimes we get overemphasized as an industry on. But clearly, as we mentioned in our prepared comments that we had a step-level change there, starting in Thanksgiving, all the way through really until very recently here in January increased year-over-year dramatically and we got above contract quite handsomely for that period. So I think all of those things in combination with the rightsizing of capacity puts I think the entire pricing mechanism or the pricing environment in a more constructive state into 2025.
Jim Filter: Yeah, Ravi, this is Jim Filter, I'll add on a little bit here in terms of what we're seeing and why those discussions with customers are a little bit more constructive this year. On a baseline where -- like Mark said, we were taking increases each quarter as we went through last year. But customers understand that we have attacked the inflationary cost and arrested almost all of those. The ones that we haven't been able to arrest our costs like insurance and customers understand the need to be able to assist us to be able to continue to provide great service and then ultimately to start to regrow our fleets. And so -- they understand what's required there. And our -- as we're going through these, they're actually locking in some incumbency with increases and understand there's just really only one direction to go from here.
Ravi Shanker: Great. Thank you.
Operator: Your next question comes from the line of Brian Ossenbeck from JPMorgan. Your line is open.
Brian Ossenbeck : Hey, good morning. Thanks for taking the question. So I just want to ask a little bit more about capacity and what you're seeing actually leave the market? And if you got any view maybe on the brokerage side in terms of what the small fleets are doing. But some comments around that would be helpful. And then also, just maybe, Jim, your view on intermodal boxes and how many of them are stacked and I'm sure there's been a bit of reconfiguration that needs to be done here for the network into next year. So maybe you can comment on box capacity as well? And then what do you kind of expect the net impact from what I assume would be a more normalized imports into the Galvan East Coast after this big search West. Thank you.
Mark Rourke : Definitely done on a multitude of questions under single risk, thank you, Brian.
Jim Filter : Yes. So Brian, this is Jim. I'll take each one of those here. So in terms of what we're seeing from capacity, especially as we're looking at those small fleets, those individual units, we have seen continued reduction. And as you look across the landscape, there aren't a lot of carrier -- large carriers that are exiting, but you also don't see anybody expanding their capacity. And that's the challenges our shippers are looking at that. And have some expectations that they're going to see some small amount of growth and capacity is still exiting the marketplace here. In terms of our box capacity, we have about 10% of our boxes that are stacked right now. We have the capacity to move 30% more volume than what we did here in the fourth quarter, about 30% more, Darrell had mentioned that. So we feel like we're in a really great position to be able to grow that business. And we did see growth in a couple of the markets. We saw very nice growth in Mexico. Our Mexico growth was -- exceeded 30%. We saw very nice growth in the West. And that was impressive, because as we went through the rails were at really all-time levels. And so there was a quick blip in the West with some service. They recovered very quickly. We're impressed by that and able to provide great service all the way through -- and as we look at that, the opportunity here is really in the east, and we took a little bit of a step back there. That's where we're competing most strictly with over the road. We'd expect that as that market begins to tighten, we're going to see more opportunities there and especially with our differentiation, we want to be able to grow where we had that differentiation and continue on our growth path. In terms of imports, I think Mark covered this, that this is pretty wide in terms of just the different types of actions that shippers are taking. We have a very diversified portfolio, as you feel very good about that position. And what we'd say is that the supply chains are really complex. They're difficult to unwind. We don't make dramatic changes there. Any opportunity to see more domestic manufacturing. That's absolutely a great thing for Schneider.
Brian Ossenbeck: All right. Thanks for all of that, Jim. Appreciate it.
Jim Filter: You bet.
Operator: Your next question comes from the line of Jason Seidl from TD Cowen. Your line is open.
Jason Seidl: Thank you, operator. Good morning, gentlemen. Just two quick ones here. I guess one clarification, one question. On the question side, on the Cowan acquisition, obviously, they're differentiated using a lightweight fleet. Is this something that you could adopt elsewhere? Or is that more geared towards some of the end markets that Cowan serves Also, they have a distinct use of a bunch of owner operators, which I don't think you guys really utilize much in your legacy dedicated, and I was wondering if that's something that you thought over the long-term that you could turn to where it might fit. And on the clarification side, you guys took down your long-term margin guide for logistics. I think you said it was mostly due to Cowan. I'm just making sure that there's no changes in your outlook for sort of the Power Only margin side. It's just like a shift in a different type of businesses that you're bringing in?
Mark Rourke: Great. Thank you, Jason. Maybe just a correction, Cowan is – Truckdown is predominantly and the Dedicated almost exclusively company driver. We do have owner-operator and intermodal dray in a separate part of their logistics business. So as it relates to the opportunity that we see in front of us, they do have a terrific lightweight model that resonates with customers who are looking to take advantage of payload. Consistent with our other acquisitions, what we're able to do is really just unlock potential for them in other geographies because they're concentrated predominantly in the Northeast and the Mid-Atlantic, and access to capital that they could take those great capabilities and apply them in different geographies and against different verticals. And so we're excited about what that lightweight expertise provides. And we think we can organically do that across multiple geographies and help them achieve their full potential, which is absolutely our priority one for them. Secondly, as it relates to -- and I'll turn it over to Darrell for his commentary, we're still incredibly bullish on the non-asset portion of our portfolio. And as mentioned, our Power Only now who's been through both up cycle and the down cycle, it's been quite resilient, terrific customer acceptance and third-party carrier acceptance. So what we're really talking about here, it's such a high return on invested capital model because of the limited capital we put in there. We want to put more growth objectives against that and grow our return on invested capital by growing and not have to have so much margin to do that, more consistent growth is what we're looking for there. And I think it's a recognition in the short-term. We have some synergy opportunities we could do at Cowan to help improve overall results. So they're going to be a little bit of a drag in the short-term. But long-term, we're still very bullish on the platform and what we can accomplish in concert with our assets.
Darrell Campbell: This is Darrell. So as it relates to your question on Logistics long-term margin targets, just as a recap, two years ago, we're at 4% to 6% in terms of our range. We're up that range of 5% to 7%, primarily due to the growth in Power Only. We're still excited, obviously, about the Power Only offering results for this year would indicate the strength of that offering. But as you said, this is more of a mix consideration. So we have more of our mix is in traditional brokerage and that was obviously amplified with the Cowan acquisition. So as we think about the weighting that's more skewed towards traditional brokerage that has a lower margin profile, we thought it was just prudent to refine that mix and the margin weight to 3% to 5%.
Jason Seidl: That make sense. Appreciate the color, gentlemen.
Mark Rourke: Thank you, Jason.
Operator: Your next question comes from the line of David Hicks from Raymond James. Your line is open.
David Hicks: Good morning, and thanks for taking the questions. I actually want to kind of hit on what you guys are seeing in retail inventories from your customers. We've kind of seen those grow quite a bit above kind of the historical trend line here in recent months. I would just love to hear how kind of they're positioning themselves ahead of kind of any potential tariff for us?
Mark Rourke: Yeah. I'll let Jim take this just on an overall kind of mix of our exposure here. We're highly diversified within the retail sector for everything from the extreme value retail to home improvement, big box retail. And so we really touched on everything probably except for department store type retail, Jim. So I don't think we've seen any massive trend up in inventories from our customers' perspective.
Jim Filter: No massive trend up, correct, Mark. What did see here that the -- there were some customers that were bringing -- it was a relatively small amount of freight in advance of a potential port disruption on the East Coast just being prepared. That largely has worked itself out, really not much of a disruption, small amount of pull ahead out of Mexico, but nothing really substantial there. Generally, as we talk to customers, they feel like their inventories are appropriate for the demand that they expect in front of them.
David Hicks: Great. Appreciate it. Thanks guys.
Operator: Your next question comes from the line of Ken Hoexter from Bank of America. Your line is open.
Ken Hoexter: Hey, great. Good morning. Busy earnings morning. Maybe, Darrell, any thoughts on seasonality and margin shifts from fourth quarter to first quarter? Maybe can you provide historical averages for each of the three segments, just as we flip in 4Q, 1Q, just wondering if there's anything you think would stand out here different than normal. And then, Mark, on Intermodal, interestingly, CP actually talked a lot about you, in particular, yesterday in terms of Schneider about growing lanes from Mexico to the US, Southeast on Intermodal. So any thoughts on the cross-border opportunity in particular, with kind of tariff potential over the next couple of days, your thoughts on growth and the sustainability of that growth in that lane even without -- with or without the tariffs.
Darrell Campbell: Yeah. So this is Darrell. So I'll start on the seasonality question. I think probably the most important thing to note is that we did see some return of seasonality in the fourth quarter, which is something that we've all been looking forward to. So that started in the second quarter. I think we all know what happened in the third, but the persistence in the fourth quarter was encouraging, particularly in our network businesses where we saw more project seasonal work and also in intermodal where we did see some premium there. So with the return of seasonality, you would expect that from the fourth quarter going into the first quarter, you would see more of that seasonality adjustment or decline, which we would normally see. So when we're talking about our guidance for the full year, we talked about improvement going throughout the year, we did say starting in the second quarter because there's some recognition that with the return of seasonality, the first quarter obviously would be seasonally adjusted as it relates to the fourth.
Jim Filter: Yeah. This is Jim. I'll just touch on what we're seeing in Mexico here. Obviously, I already talked about our growth here in the fourth quarter, but we really have seen that continue on here into the first quarter. And the growth that we're seeing, it's a lot of conversion, and we're taking share in that space as we feel we have a really competitive product there working with the CPKC. And now we have this additional service lanes that are connecting the Southeast to Mexico and to the Southwest. Both of those are performing very well, and we'll continue to grow on both of those. And just as we look at what's being produced in Mexico, I talked earlier about supply chains being complex and difficult to online. A lot of these products are really products that we don't necessarily see being produced anywhere else, except Mexico, and so we expect to see continued growth there.
Mark Rourke: And we're looking forward to the first full allocation season to have the new service between the Southeast and Mexico, and the Southwest. So we've been priming the pump with most to discussions through the back half of the year in anticipation of that. And as usual, the execution of our partner down there is just first rate. So I think we have a great service product, and we have a great opportunity to convert from over the road to rail, and that's what we've been talking to our customers about really in the last four to five months.
Ken Hoexter: If I can just clarify one thing with Darrell. Maybe just picking one category, right, truckload. Just because we've had COVID, we've had so many different things if we look back the last 5, 10 years. Is it a normal seasonal increase like a 400 basis point OR increase just looking back at your history and avoiding some of those one-timers?
Darrell Campbell: Yeah. So it's difficult to give specific quantification, but I would say we're seeing more of a trend towards normal seasonality, but we're not back to kind of pre-COVID, I guess, a pre-COVID normal level. So somewhere in between where we are now and I guess what you would define as normal is probably what we'd see -- when we compare the fourth quarter to the first. So, we go all the way back to...
Mark Rourke: Yeah, we don't provide quarterly guidance. But Ken, I think we would sit here suggesting, as we here at the end of January that the truck volumes have been what we would have expected and maybe where we're seeing a little bit of more positive than typical, Intermodal has been very strong coming out of the fourth quarter, and it's maintained unseasonal strength, at least in my view, for the first few weeks of January.
Ken Hoexter: Great. Appreciate the thoughts, guys. Thanks.
Operator: Your next question comes from the line of Chris Wetherbee from Wells Fargo. Your line is open.
Unidentified Analyst: Hey, good morning, guys. It's Rob on for Chris. Appreciate you taking our questions. Could you give us a little bit more of a sense of what you have built into the full year guidance from a rate perspective at the low end and at the high end of the range?
Mark Rourke: As we kind of laid out in our early comments that we do believe we're entering a more constructive pricing market and building upon some of the progress, although, modest progress that we had in 2024. So -- and I do believe that's what's necessary to get to the various elements of our range. Price will play an important part. We believe we've done a very good job of arresting the inflationary costs, and we don't believe that we'll have a lot of inflation into next year -- excuse me, into 2025 here. And so what's important from a margin restoration standpoint is the price line, and we're going to pursue that consistent with the value that we provide in the marketplace. So I don't have a number I'm going to share with you, but it is the difference between where we find ourselves in the range that we provided.
Jim Filter: At least as it relates to the low end of our guidance, we try to give some perspective with reference to the fourth quarter of 2024. So we adjusted that rate obviously for some of the seasonality or premiums, I should say, that we saw. So if you kind of strip out the premium and look at the fourth quarter on a normalized basis, that will give you some indication of the low end. But the high end includes everything that we talked about in terms of restoring margin.
Unidentified Analyst: And then just, as we think about over the course of the cycle, you've grown dedicated quite a lot. How should we think about your truckload margin performance looking out, given Dedicated is now 70% of the mix. Like how much of an improvement do you guys see as rates begin to recover here?
Mark Rourke: Yes. We believe we can continue to advance and improve our margins across the board, including dedicated. One of the great opportunities we have in an improving freight market is in just about all of our configurations that we do in support of customers that there is a backhaul component that we can have a better choice and better paying freight that fits better, anything that gives us more options there and an improving marketplace benefits dedicated. So that's a margin enhancer. We've also talked about improving our asset productivity and our capital allocation thereby improving our ratios between trucks and drivers. And so there's a number of initiatives within there, both market-driven and self-help driven that can drive margin improvement.
Unidentified Analyst: Appreciate the time.
Operator: Your next question comes from the line of John Chappell from Evercore ISI. Your line is open.
John Chappell: Thank you. Good morning. Jim, surprised that in come up yet, but your intermodal revenue per load up sequentially, pretty meaningfully seeming to bucking the trend across the industry, and that obviously translates in the better margin as well in the volume part of it all makes sense. But can you help us kind of explain what's driving the revenue per load and how you kind of think that transpires from here?
Jim Filter: Yes. Thanks, John. So yes, as we went through the quarter, there was obviously a lot of demand out of our headhaul markets, and we remain disciplined. Absolutely, our objective is to grow this business. And I talked about the capacity to be able to grow, but we're not going to grow just to grow. And so, we anticipate that we're going to continue to see that price improve as the over-the-road market increases. But really that the price that you saw in the fourth quarter, a good deal of that was due to project work that we were involved in and all of the head of all markets.
John Chappell: So just to clarify, do we think of that as a new starting point off of which to build '25? Or do we think of more of an average of '24 for normalized price in...
Jim Filter: Yes. Thanks, Jon. I would think of it as normal seasonality as what we saw in the fourth quarter for Intermodal.
John Chappell: Okay. Thanks, Jim.
Operator: Your next question comes from the line of Scott Group from Wolfe Research. Your line is open.
Scott Group: Hey, thanks, good morning guys. Let me try that a little different -- so as we approach bid season, whatever increases you're trying to get in truckload or you think you'll get in truckload, do you think the intermodal increases keep pace and are similar -- where do you think intermodal lags on price relative to whatever truckload is going to get this year?
Jim Filter: Yes, Scott, this is Jim. I'll take that. And just looking at historically, Intermodal generally tends to trail. And so that's exactly what we've seen so far. I'd anticipate that we're not likely to see the same rate of increases for intermodal that we'll see within the truckload market. Truckload is where we need to see the largest increase because that's also where we still have the largest decline in the industry.
Scott Group: Are you saying it like -- I know I get that it lags by a quarter or two, but you're saying even on the lag, like the increases will be less. Is that what you're trying to say?
Jim Filter: I'd expect that we'd see bigger increases in over-the-road market than intermodal as we go through the course of the year.
Scott Group: Okay. And then if I can--
Mark Rourke: 2024, we mostly -- in 2024, we have relatively flat pricing in intermodal and our renewals while we were increasing on the network side. So, I think consistent with our experience there. We have an improved efficiency, cost position and I think we'll grow our margins more through volume early in the year, particularly.
Scott Group: Okay. And then if I can -- just one more thing. I think last quarter, you talked about mid-single-digit renewals and network. Can you talk about what they were in Q4?
Mark Rourke: Very little activity in the fourth quarter, Scott. So, nothing to really highlight there. A lot of discussions in preparation for 2025 is really the focus there. But we were virtually through both intermodal and truck completely done with renewals at the end of the third quarter.
Scott Group: Excellent. Thank you guys. Appreciate the time.
Operator: Your next question comes from the line of Bascome Majors from Susquehanna. Your line is open.
Bascome Majors: Thanks for taking my questions. If we hear from a lot of players in the industry, Dedicated has a particular challenge with this extended down cycle. And you guys' commentary and outlook has been and it sounds like it continues to be a bit more positive. Can you talk a little about either how you're targeting the market or your mix of customers that is generating that perceived outcome and -- is that something that you think can continue into a greater up cycle as well on a relative basis? Thank you.
Jim Filter: Yes. Thanks Bascome. And this is Jim, I'll take that one. So, really, it's -- we're not seeing competition between dedicated providers as much as dedicated solutions turning over and becoming really network solutions as customers were seeking a lower cost options. And so specifically, what we've done to be able to depend against that is just ensuring that when we're putting together a Dedicated solution, it's truly Dedicated that it is a multiyear agreement. It's structured in a way that has teeth in it for both sides that we're providing great service, that it's not going to be able to be easily replicated with a network type solution and certainly not something that is going to be replaced by lower cost spot pricing. And then specifically, there's verticals where we have differentiation, where we've built some specific skills to be able to grow into specialty Dedicated into refers much broader than just the standard dry band.
Mark Rourke: And one of the things we're most excited about with the targeted acquisitions that we made the last three years, they introduced us each one of those two different verticals. For example, we have more exposure now to the automotive production side, particularly through the Asian transport and overseas manufacturers, different specialty retail now with Cowan and the more of the lightweight space. And so it gives us just a much more diversified play in the marketplace. We've never been more diversified as it relates to our dedicated positioning. And as such, I think we've been a bit more resilient than some in the industry as it relates to what Jim was referencing there. We haven't seen the overall churn because of that focus.
Bascome Majors: Thank you.
Operator: Your next question comes from the line of Bruce Chan from Stifel. Your line is open.
Andrew Cox: Hi. Good morning, team. This is Andrew Cox on for Bruce. I wanted to follow-up on the kind of capacity and rate questions from earlier. We are seeing some signs, either through some of the data and the channel checks that there may be early signs that a backlog and disruption is occurring kind of on a regional or a local market level. We just kind of wanted to I understand if you're seeing any of that, if you're seeing any backlog or disruptions regionally if you've seen a localized tightness in the spot market and how that's maybe shifted over the past couple of weeks? Thanks.
Jim Filter: Yes. Thanks. This is Jim. I'll take that one. So certainly, we've seen some different weather events as we've gone through the fourth quarter and then into January. So in fourth quarter, obviously, we had a series of hurricanes and we have wildfires and now we've had snow in parts of the country that don't typically get snow. And so there were some disruptions, especially with the snow events to our operations, but also to our customers. And so you have this displaced capacity and demand that needs to work itself out, especially in those markets, we've seen some capacity that just wasn't available and of course, the corresponding market impact.
Andrew Cox: Okay. Thank you. If I can just quickly follow-up. Have you seen anything that may be related to pre-inventory buildings pre-tariff or potentially on the supply side with changes in immigration and changes at the border? Thanks.
Mark Rourke: Yes, I don't think we have anything to really report of any significant changes in trends. So as most of our customers and at least the ones we've been in dialogue with here the last several weeks of the year and in part in the 2025 field almost to a customer about where they want to be from an inventory standpoint. And so -- we do have cases where certain customers have done some action to pull forward, but that's not consistent or representative all across the customer base. So it's been very specific and not universal.
Andrew Cox: Okay. Appreciate the insight and time. Thanks.
Operator: Your next question comes from the line of Ari Rosa from Citigroup. Your line is open.
Unidentified Analyst: Hi. Good morning, guys. Thanks for taking the question. This is Ben Moore on for Ari. It looks like a key driver of your operating expense growth sequentially was an insurance on the cost that you mentioned related to elevated nuclear verdicts, insurance expense looks like it stepped up in the quarter from 2.8% of revenue to 3.8% of revenue. Do you think that's the new norm? Or should it trend back down to between 2.5% to 3% of revenue or perhaps go higher?
Darrell Campbell: Yes. This is Darrell. So in our prepared remarks, we did talk about through prior year accident claims that were driving the increase, I guess, of $7 million or $0.03 in the quarter. So we wouldn't characterize that activity as normal. I think as Mark said in his remarks, we've been very active in reducing our frequency, right, which is the number one line of defense. And if you look at our frequency by any measure, we've been at record levels in terms of the ability to manage that. Outside of that, there are things that we don't directly control. But in the quarter, I would say the refinement of those reserves is not something that would expect to happen every quarter.
Jim Filter: Yeah. Those are older claims that we felt was prudent to refine the reserve and we largely in the truckload sector.
Unidentified Analyst: Great. Appreciate that. And maybe as a follow-up, back to the dedicated truck count question, just for clarification. You ended 3Q at about 60 to 100, adding Cowan at 1,900, that should be about 8,500 after maybe we model slightly step down from 8,500 from the step-down from your legacy truck count. You mentioned earlier that you see a line of sight to several hundred trucks of new business and first half? And then last quarter, you mentioned a large customer that's pushed to greenfield new product launch from second half of 2024 into 2025. So should we expect maybe that 8,500 to quickly approach 9,000 in the middle of 2025?
Mark Rourke: Trying to unpack all that in there succinctly. So what's in our number, obviously, is one month of the quarter on an average basis with the Cowan addition. So we exited the year roughly at 8,500 Dedicated units. And some of those, we are -- had stage for start-ups to your point, that delay from fourth quarter to end to -- or second half into 2025 here. So we can get, which is my comments about getting higher revenue per truck per week when we get those underutilized assets deployed against revenue in 2025. So we won't see one-for-one truck count growth there, but we will see improved results because we'll be putting that capital to play. So coming into the year, around 8,500, and we would expect to obviously build through our commercial success throughout the year.
Unidentified Analyst: Certainly appreciate that. Thanks so much.
Operator: Your final question comes from the line of Jordan Alliger from Goldman Sachs. Your line is open.
Unidentified Analyst: Hey, thanks for squeezing us in here. This is Andre [ph] on for Jordan. I just want to clarify a little bit on the truckload operating ratio comment into the first quarter. Just given that we're coming from the elevated level, the 96.5%, I know historically, margins do deteriorate, but could we hold the OR sequentially into the first quarter?
Mark Rourke: Again, we don't guide by segment, and we don't guide by quarter. But certainly, because we had some return to seasonality and some of the project work, there was some enhanced, it was great to see the seasonality. We won’t probably experience that to the same degree in the first quarter, but it doesn't mean that we don't have other opportunity to improve the business in other ways. So we're not going to give guidance to that. But rest assured we're leaning into every opportunity to continue to advance our margin profile. We've talked about pricing, we've talked about asset utilization, and we've talked about cost containment.
Darrell Campbell: And this is Darrell. Just also keep in mind that the seat to reserve refinement that we did talk about primarily impacted the truckload segment. So I wouldn't expect that in the first quarter either.
Unidentified Analyst: Got it. Thanks everybody.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.